Executives: DeAnne Gabel - Director of Investor Relations B. Ben Baldanza - Chief Executive Officer, President and Director Edward M. Christie - Chief Financial Officer, Principal Accounting Officer and Senior Vice President John Bendoraitis - Chief Operating Officer and Senior Vice President
Analysts: Savanthi Syth - Raymond James & Associates, Inc., Research Division Hunter K. Keay - Wolfe Research, LLC John D. Godyn - Morgan Stanley, Research Division Duane Pfennigwerth - Evercore Partners Inc., Research Division Catherine M. O'Brien - Deutsche Bank AG, Research Division David E. Fintzen - Barclays Capital, Research Division Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division Daniel McKenzie - The Buckingham Research Group Incorporated Stephen O'Hara - Sidoti & Company, Inc. Fred T. Lowrance - Avondale Partners, LLC, Research Division Bob McAdoo - Imperial Capital, LLC, Research Division David van der Keyl - BofA Merrill Lynch, Research Division Helane R. Becker - Cowen Securities LLC, Research Division Stephen Trent - Citigroup Inc, Research Division Michael W. Derchin - CRT Capital Group LLC, Research Division
Operator: Welcome to the Third Quarter 2014 Earnings Release Conference Call. My name is Vivian, and I'll be your operator for today's call. [Operator Instructions] I will now turn the call over to Ms. DeAnne Gabel. Please go ahead.
DeAnne Gabel: Thank you, Vivian. Welcome to Spirit Airlines Third Quarter 2014 Earnings Conference Call. Presenting today will be Ben Baldanza, Spirit's Chief Executive Officer; and Ted Christie, our Chief Financial Officer. Also joining us for the Q&A session today are Thomas Canfield, our General Counsel; and John Bendoraitis, our Chief Operating Officer, and other members of our senior leadership team. Today's discussion contains forward-looking statements that represent the company's current expectations or beliefs concerning future events and financial performance. Forward-looking statements are not a guarantee of future performance or results and are based on information currently available and/or management's belief as of today, October 28, 2014, and are subject to significant risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements, including the information under the caption Risk Factors included in our annual report on Form 10-K and quarterly reports on Form 10-Q. We undertake no duty to update any forward-looking statements. In comparing results today, we will be adjusting all periods to exclude special items and nonoperating special charges. Please refer to our third quarter 2014 earnings press release for further details regarding our assumptions for the reconciliation to the most directly comparable GAAP measure. And with that, here's Ben.
B. Ben Baldanza: Thanks, DeAnne. And thanks to everyone for joining us. Today, we reported record third quarter results and did so while maintaining our commitment to low fares. Other airlines say they have low fares, but at Spirit we deliver. Our average ticket revenue per passenger flight segment for the third quarter 2014 was just $84.50 and our total revenue per flight segment was $138.54. The customers we seek to attract overwhelmingly ranked total price as the most important variable when choosing an airline. Our low fares are, on average, up to 40% lower than other airlines'. Third quarter net income increased 27.6% year-over-year to $73.9 million or $1.01 per diluted share. Operating income grew 19.2% to $110.6 million, resulting in an operating margin of 21.3%. And our pretax return on invested capital for the 12 months ended September 30 was 31.6%. A stellar quarter any way you slice it. And I want to thank all of our team members who contributed to the strong performance. Top line revenue grew 13.6% compared to the third quarter last year on a capacity increase of 14.7%, resulting in a total revenue per ASM decrease of 0.8% year-over-year, in part due to an increase in average stage length year-over-year and a slight load factor decline. The decline in load factor was driven in part to lapping a very strong third quarter load factor last year of 89% and in part due to increased flying on Tuesdays and Wednesdays this year, which we felt comfortable would be margin accretive given the strong demand environment. We've also increased flying on Tuesdays and Wednesdays for the month of October and estimate our load factor for October 2014 will be down about 1.5 points year-over-year, a tradeoff we are comfortable with given the expected margin benefit of such flying. Our ticket revenue per passenger segment for the third quarter 2014 increased 2% to $84.50, driven by demand and pricing strength in the peak summer travel period. Non-ticket revenue per passenger segment increased 2.9% to $54.04. The year-over-year increase in non-ticket was primarily driven by a higher volume of passengers selecting to purchase seat assignments. Earlier this year, we put through a software update that enables us to sell seat assignments at our kiosks. In addition, we have been taking a more rigorous approach to revenue managing our seat inventory. Our team did a great job delivering improved operational performance and a high completion factor for the quarter. At the end of September, our operations were impacted by the fire at the Chicago air traffic control facility, but our team did such an excellent job working through the event that we were able to limit the impact to just 43 flight cancellations. Systemwide, we had a completion rate of 99.3% for the third quarter and the benefits of running a good airline are evident through our cost structure. It's big, it's yellow, it flies, and yes, it's our new livery. Some have called it a highlighter in the sky, some others have described it as disorienting, but everyone has to admit that it's different. And that's the point of our new livery, to show that we're not like the others. If you haven't seen it yet, you can find pictures online at our website. Our customers are finding it fun and friendly. And if you haven't already, we hope you will take the time to check it out. We've been busy making lots of new route announcements. In August, we launched service from Kansas City to Chicago, Dallas/Fort Worth, Detroit, Las Vegas and Houston. Also, in August, we launched Houston to New Orleans and Atlanta and Fort Lauderdale to New Orleans. And in September, we added Houston to Fort Lauderdale and San Diego. During the third quarter, we announced that beginning in 2015, we will rock Cleveland with our low fares to Orlando, Tampa, Fort Myers, Fort Lauderdale, Dallas/Fort Worth, Las Vegas, Los Angeles and Myrtle Beach. We've been talking with Cleveland airport representatives for many years and I'm pleased we now have the opportunity to liberate Cleveland from high fares with our Bare Fare plus Frill Control. With that, here's Ted.
Edward M. Christie: Thanks, Ben. And again, thanks to all of you for joining us today. Let me express our sincere thanks and congratulations to our team members across the Spirit system for the excellent financial and operational results produced. Our CASM x fuel for the third quarter 2014 came in at $5.92, an increase of 1% year-over-year. This was better than our initial guidance for the quarter in part due to the benefits of our improved operational reliability. Based on second quarter trends, we baked in some operational improvement in our guidance, but the team delivered even better than we estimated. In addition, depreciation and amortization was slightly better due to changes in individual aircraft utilization, affecting the amortization of some heavy maintenance events. On a year-over-year basis, per ASM increases were driven primarily by higher salaries, wages and benefits and landing fees and other rents. The per ASM increase in salaries, wages and benefits was primarily due to an increase in group health care costs, the additional pilots to effectively implement the new crew duty and rest rules under FAR 117, and hiring and training costs to fund our fourth quarter growth. These increases were almost entirely offset by lower passenger reaccommodation expense as a result of improved operational reliability. We ended the quarter with $588 million in unrestricted cash. During the third quarter, we took delivery of one new A320 aircraft, bringing our total fleet as of September 30 to 58. We took delivery of our first debt-financed aircraft earlier this month and have 6 additional new aircraft scheduled for delivery by year end 2014, for which we have sale-leaseback financing in place for 3 and secured debt financing for the remainder. We plan to take delivery of 15 aircraft in 2015 and have secured debt commitments in place for the first 11 deliveries and a direct lease arrangement for our first A320neo scheduled for delivery in the fourth quarter of 2015. Turning now to 2014 guidance. Based on the forward curve as of October 22, 2014, we estimate our fuel price per gallon for the fourth quarter will be $2.71. We have approximately 50% of our fourth quarter 2014 and 10% of our first quarter 2015 fuel volume hedged, using out of the money jet fuel call options, which allow us to participate 100% in the movement down in fuel price. Capacity for the fourth quarter is expected to be up 19% year-over-year. For the fourth quarter 2014, we estimate our CASM x fuel will be flat to up 1%. In the fourth quarter, we expect CASM pressure from higher landing fees and other rents driven by increased rates and higher flight volume at higher cost airports and from depreciation and amortization, driven by the amortization of a higher number of heavy maintenance events. As we take delivery of debt-financed aircraft, we will see a benefit in aircraft rent per ASM and anticipate continued benefit from the improved operational reliability. We estimate that buy versus lease is a pretax benefit of $800,000 annually per aircraft, which includes estimated interest expense. However, based on our current balance of predelivery deposits, we estimate we will be able to capitalize the first $12 million of interest expense for the next several years. Thus, for the fourth quarter of 2014, we estimate our interest expense net of capitalized interest will be 0. I know many of you are hoping to hear some guidance pertaining to 2015. In addition to leveraging our growth, we remain focused on improving efficiencies throughout the business. We are still finalizing our 2015 plan, but we feel comfortable giving a preliminary target for the first quarter of 2015 CASM x fuel of down about 4% on a year-over-year capacity increase of 26%. Our continued focus on improving our operational reliability and overall good cost control, including the benefit of cost-effective debt financing, will benefit us in the first quarter and throughout all of 2015. And together with our growth, will provide us with a notable CASM tailwind that should provide us with a good opportunity on the margin side. With that, I'll turn it back to Ben.
B. Ben Baldanza: Thanks, Ted. Overall, it was a very strong third quarter and we are well positioned to finish the year with record earnings. The demand environment continues to remain strong, and together with a lower fuel outlook, I'd say we feel pretty, pretty good. We are currently estimating the operating margin for the fourth quarter 2014 will be 18.5% and 19.5%, assuming a $2.71 per gallon fuel price. As Ted mentioned, we are still finalizing our 2015 plan. At a high level, our strategy remains based on the same 4 principles we used in 2014: profitably grow our business, have all customers understand our business model, improve operational performance, and improve our cost structure. In 2015, we plan to deliver on all 4 of these objectives again. We plan to grow our capacity about 30%. Our continued focus on operational success along with our growth gives us great leverage on the cost side. While the growth may create a near term drag on RASM as markets spool to maturity, lower costs plus greater customer engagement should allow us to fully meet or beat our aggressive margin targets in every quarter next year, assuming the demand environment remains strong and fuel remains near current levels. In closing, our preliminary estimate for the first quarter 2015 operating margin is about 20%, which implies an increase of more than 6 percentage points year-over-year. This target assumes fuel at $2.60 per gallon and CASM x fuel year-over-year about 4% down, as Ted mentioned. We'll share our full 2015 targets with you when we discuss our full 2014 results in February 2015. Our Bare Fare plus Frill Control business model continues to perform very well, and we're excited about the new markets we have planned for next year and are committed to successfully execute on our growth plans. Now back to DeAnne.
DeAnne Gabel: Thank you, Ben and Ted. We are now ready to take questions from the analysts. [Operator Instructions] Vivian?
Operator: [Operator Instructions] And our first question comes from Savi Syth.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: I was just kind of curious with the -- maybe with the 20% operating margin in 1Q that -- this might be answering my question, but how has your kind of thinking on capacity and pricing changed with the decline in fuel prices?
B. Ben Baldanza: Well, Savi, this is Ben. Thank you. In general, the right price for us is the price that fills the airplane. Obviously, with a high percentage of our revenue coming from non-ticket revenue, having full planes is important for us to drive the best total revenue we can. So it's really going to be a demand-based pricing environment, as it has always been. Lower fuel prices create a little bit of tailwind in the margin right now, which is good for us and probably good for the industry. But as long as demand stays strong, as we see it right now, we believe that, that will -- we can -- we'll take good advantage of that in the pricing environment as well.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Got it. Are you seeing your competitors have changed their behavior as a result?
B. Ben Baldanza: As a result of?
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Low fuel prices. Has there been any kind of change in what you're seeing in the industry?
B. Ben Baldanza: We haven't noticed anything that we can [indiscernible] specifically to changes in fuel price, no.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Got it. And then just one last question, if I may ask. With the new markets that are opening, the new routes that you're adding next year. Is there -- just how do you expect that to happen across the year? Is there one quarter that you have more new routes opening than any of the others?
B. Ben Baldanza: Well, it's really tied to delivery of airplanes. So as you know, we're taking 6 more airplanes this year and then we're taking 15 next year, but they don't come evenly spaced throughout the year. So it's really a function of, as the airplanes come in. So we've got some growth in each quarter next year, but it's not evenly spread throughout the year. So we'll be making new route announcements as they make sense. We've already announced our Cleveland starts, for example, which don't start until January, and we'll be making some other announcements shortly as we get into sort of the sales cycle for those.
Operator: And our next question comes from Hunter Keay.
Hunter K. Keay - Wolfe Research, LLC: So if your CASM x fuel is going to be down 4% on 26% capacity growth in 1Q, why should I not think that it's going to be down at least 4% on 30% capacity growth next year? Is there some sort of timing issue, or you have a sort of a cost holiday in 1Q '15? Or is there any kind of noise in that quarter?
B. Ben Baldanza: No, I wouldn't describe any particular noise in the first quarter. And so, as I said, we'll be more clear with the full year '15 at the next call. But at least, the first quarter does give you some indication of how we're thinking about the year.
Hunter K. Keay - Wolfe Research, LLC: Well, that's really big news, Ben. Okay, good. And then as it pertains to, Ben, something you said. You said you're going to be -- you're going to hope to beat your aggressive margin targets next year. Let's talk about a whole bunch of moving parts. So you've got this long-term margin range of 15% to 17%, which appears to be further and further in the rearview mirror as we move on here. Presumably, when you talk about your aggressive margin targets next year, you're talking about something above and beyond that long-term 15 to 17. And if we've got CASM x fuel now down in this low- to mid-single digit range, it's very hard for me to not model pretty nice margin accretion next year. So I guess, to put the question is, what do you mean when you say your aggressive margin targets next year as it relates to that 15% to 17% prior long-term guide that you guys had discussed before?
B. Ben Baldanza: Well, thanks, Hunter. Well, as you know, we are a margin-driven airline and we try to drive high margin at the airline. And we're in an environment today where the capacity, pricing and fuel environments all allow a greater than what we might think is long-term sustainable margin for the company. And we'll certainly take advantage of that as long as we can. We put that 15% to 17% long-term margin guidance out there. But that's just math, that's a 3-year historical average. If we dropped off the oldest of those 3 years and added in the most recent of the last 3 years, that 15% to 17% on its own would move to 16% to 18%, for example. So we'll always look sort of at the last year's history, but we're going to manage the current year and forward bookings to drive the highest margin possible. So when we talk about meeting aggressive margin targets, we talk about sort of the way we've been performing recently, not necessarily a 3-year historical look back.
Operator: And our next question comes from John Godyn.
John D. Godyn - Morgan Stanley, Research Division: Ben, really appreciate the first quarter margin guidance. When I think about the business and the seasonality in the business without debating whether first or fourth quarter is traditionally lower, I mean the first quarter tends to be lower on average than the second and the third quarter and to set the market 20%, I mean, it feels like we could see some quarters next year that are considerably higher than 20% operating margin, just based on normal seasonality. Is there any reason why seasonality is not the right framework for next year?
B. Ben Baldanza: We try to drive good earnings in every quarter of the year. As I have stated on these calls a couple of times, one reasonable way to think about a quarter is for the roughly 90 days in every quarter, how many of those days are strong demand days versus weaker demand days. And the reason that the second and third quarter have been stronger for us in the last few years is because there are more strong days in those quarters than weak days. The strong days in every quarter of the year have been very good for us over the last year, and we expect will be good for us next year. The weak days are where the change happens and so the question will be what the capacity pricing and fuel environment will be in those weaker demand days through next year. So overall, I think the seasonality approach is a good way to think of it. There are more good days or more demand to the airline favorable days in the second and third quarter. So if we're able to drive 20% in the first quarter, that suggests fairly good things for the second and third quarter assuming consistency in the pricing, competitive and fuel environments.
John D. Godyn - Morgan Stanley, Research Division: Got it, very helpful. And you know, I can't help but detect a lot of excitement in your voice right now and the guidance certainly sort of reinforces that. I just wonder, I've certainly heard a lot of questions from investors right now about this reaccelerating capacity growth and any operating issues that might be occurring. We had a little bit of what was perceived as a guidance split, though. I understand that there were some unique circumstances there. Could you just kind of speak to that in general? Are you seeing now, as we're very close to kind of reaccelerating capacity growth, are you seeing anything operationally that's surprising, anything that should give investors pause, or is it really just firing on all cylinders?
B. Ben Baldanza: We think we're well prepared for the growth that's coming up. I mean, we've known the airplanes that are coming for a while now, and so we backed up from those delivery dates and have planned our training and our route development and our sales efforts and things like that, all towards that. John Bendoraitis, our COO is here with us. I'll ask him to just give a couple of comments on how he feels about the company's preparedness for 6 airplanes coming in the next 2 months and 15 next year.
John Bendoraitis: Yes. Thanks, Ben, and good morning. Yes, the team has done a great job. We certainly are very well prepared well in advance of the aircraft arriving. As you might imagine, we've made a lot of investments, be that in software or resource, adding people to the team and being ready for this growth. The airline, as you might expect, is really a lesson in kind of how to work together as a team, and we've got a great one here, so. And looking forward, we're pretty excited and we're ready.
Edward M. Christie: John, this is Ted. If I can just add one thing for fun. You mentioned there a bit of a guidance flip and we're always pretty protective about our ability to make sure we're keeping you guys informed. And we felt like we still hit the mark this quarter. Admittedly, there were some unusual items on the tax side that kind of reversed things around, but we always try to do our best to make sure that we're disclosing to you guys exactly what we're seeing when we can and when it's appropriate. And as we've said, and as Bendo referenced, we've invested a lot of time, but also money getting ready to deliver the airplanes that we see happening in the fourth quarter and the first quarter and beyond. And so for those reasons and based on the expertise we have in-house, we've all felt reasonably comfortable that we're going to be able to deliver these airplanes. And we're in the middle of it, right now. So they're starting to come and we feel very good about what we're seeing.
Operator: And our next question comes from Duane Pfennigwerth.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Can you, Ted, just walk us through how to think about the capitalized interest? How much -- as you sort of bring on this debt, how much should we be pulling through the P&L into 2015 and how long the capitalized interest sort of flows?
B. Ben Baldanza: Yes. We anticipate, as I said, in the comments, we anticipate about, and this is intentionally an about number, $12 million a year for the next few years, Duane, based on our PDP balance, basically. So as we're heading into a period where we're taking -- going to be delivering quite a few airplanes, our predelivery deposit balance has increased, which has allowed that number to get to that point. But when the delivery stream starts to round, then it goes the other way. So we're feeling like it's somewhere in the neighborhood of $12 million for the next few years.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then just, I mean, as we think about the debt-financed aircraft that you have booked for '15. How much of the interest related to that debt will be capitalized, if any? And should we assume something like an 80% loan-to-value? Can you give us any help there?
B. Ben Baldanza: As for the first question, again, it's going to be in the neighborhood of $12 million of that interest expense. And you would have to model out based on -- because we haven't disclosed yet for all of those airplanes. We've given a range, I think, in some of the disclosures what some of them, the interest rate would be, but you can kind of approximate how much of the interest will be capped if we say that it's around 12%. But as far as specifics on debt financing, I would assume -- market these days is around 80% to 85% advanced. And that's generally what we've been seeing for 12-year mortgages. So that's probably a good number for you to use as well.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then just wonder if you could put some numbers to the pilot recruiting. Can you talk about historically, given attrition and growth of maybe 7 aircraft a year, how many pilots you recruit in a given year and how that compares to 2015? And if you'd be willing, I guess, how far along you are in that process?
John Bendoraitis: Yes. This is John Bendoraitis, again. As a growing company, Spirit represents one of the best opportunities in the airline business today for pilots and for all of our team members and we are seeing literally thousands of applicants for all of the jobs that we have. We're on track for 2015 to add approximately 250 additional pilots to our roster for next year and we're not having any trouble in recruiting right now.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: So how does that compare to kind of an average year historically?
John Bendoraitis: This past year, we added approximately about 170 pilots for the growth that we had. Prior to that, I have to ask Ted for the history.
Edward M. Christie: Yes. And Duane, I think we're -- last year -- or excuse me, this year, we, remember, at the tail end of 2013 and the beginning of this year, we were hiring all sort of staff for FAR 117. So we were approaching 200 a year anyway. And clearly, as we took less airplanes, it was fewer and fewer pilots back into the history, but the 250 that we planned to hire in 2015 is not stratospherically different than what we've been doing. And our view is that, as it exists today, the line is kind of out the door for guys wanting to come and fly here. So it's generally been a good environment for us.
Operator: And our next question comes from Mike Linenberg.
Catherine M. O'Brien - Deutsche Bank AG, Research Division: This is actually Catherine O'Brien, filling in for Mike. I'm just hoping you could put some context around the utilization flying. You mentioned in the press release that negatively impacted RASM, but was margin accretive. Without these additions, do you think we would see margins flat year-over-year or maybe even down?
B. Ben Baldanza: This is Ben. I don't know -- I'm not sure of the math [indiscernible] whether margins will be flat or down. What I'm saying -- what we were talking about was that last September was a particularly strong month for us. So when we were planning capacity for this year, we sort of took the view of let's take a little more risk, and put a little higher utilization flying in a lower peak month like a September is. So we saw a little bit of load factor hit from that, but we feel that it was very helpful for the margin to actually fly those flights. And if we had felt that, that wouldn't have been the case, we might have made some changes and adjusted appropriately on those. We're going to run a high utilization airline because that's consistent with our business model. It helps us keep our costs lower and it's just consistent with having the lowest price for our customers. And so we're going to look for opportunities to drive utilization, whether that's using back hours of the clock or whether it's flying on what might be little lower peak average days if we can drive margin from that. We're not going to fly just to fly if that's going to hurt the margin. But when we can push the airplanes a little bit more while continuing keeping them fully maintained and such, we're going to do that. And so this was -- 2014 will close as a pretty high utilization year and we're planning the same for next year.
Catherine M. O'Brien - Deutsche Bank AG, Research Division: That makes sense. And just one more, if I can. You've announced service to several more cities out of Houston intercontinental. But it doesn't look like you have any international service out of the airport at this point. Would international service make sense in the future? Or do you think Southwest's plan to add international service out of Hobby late next year or 2016 makes that a attractive option for you guys?
B. Ben Baldanza: Well, we're looking at all opportunities for everywhere we fly. And obviously, there is -- Houston is a logical international gateway point for just because of its geography. So as we've been -- Houston is still a relatively small station for us. We've applied for service to 3 Mexican cities from Houston and we have been granted that authority by the DOT, so that's at least indicative of some of our thinking of the future of what might happen.
Operator: And our next question comes from David Fintzen.
David E. Fintzen - Barclays Capital, Research Division: When I look at the Cleveland start-up, the little more of, I guess, maybe feels more of a foot race between you and Frontier to launch service there. Is that just sort of a little bit of a hint of what's to come in '15 in sort of foot races between low-cost carriers or was Cleveland a little bit of a one-off?
B. Ben Baldanza: We can't comment on what other airlines are thinking of doing on their capacity. We've been looking at Cleveland for quite a while actually and we've been negotiating with a couple of cities in that region, worked out a good deal with Cleveland and we loaded Cleveland when it made sense for us. So our launch at the Cleveland has been largely -- has been -- not been driven by what we've seen anyone else do. And our belief in our success in Cleveland is based on our belief in how our model works and how successful it's been in cities like Cleveland like a Detroit or a Latrobe or something like that.
David E. Fintzen - Barclays Capital, Research Division: Is that the fact that there are other carriers out there, does that slow down some of those airport conversations in general? Or just kind of any color on kind of how the pace of those conversations and how motivated airports are to sort of get you guys in there?
B. Ben Baldanza: Well, as I'm sure you can appreciate, Dave, airports are generally thirsty for more volume right now. The generally strong for the industry capacity and pricing environment has created space at most airports in the U.S. There are obviously some exceptions of airports that are still facility-constrained, but most airports, and especially if you look at a place like Cleveland, have a lot of space in them. And so I think they've got sort of a open-to-all-comers kind of sign at most airports today. So we have -- whenever Mark Kopczak, our network planner, shows up at any of the events where airports are, his dance card is always fully booked with people who are saying, "When are you going to fly here?" So we're not having a problem at most places.
Operator: And our next question comes from Joe DeNardi.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: I feel like, in the past, there was some degree of uncertainty around kind of what the capacity growth would mean for demand and the RASM [ph] environment going into '15. It seems like, with the 20% margin guidance, there is less uncertainty. So can you just kind of help us understand what's improved, what gives you the confidence that the demand is going to kind of stay strong? And are you expecting maybe a tailwind from lower fuel costs to benefit demand?
B. Ben Baldanza: Well, Joe, that uncertainty, I don't think we ever felt that here in our building. We realized that there was some uncertainty in your world or the analyst world to some extent. We've always felt good about our growth for 2015. The point that we have tried to make and we've said it in a couple of different ways is that a high-growth year like next year will be for us with 30% growth, may have some pushback on the RASM side, but also as Ted has said in multiple earnings calls, creates really good opportunity on the CASM side since we're a margin-driven airline. If we can drive higher margins with a little lower RASM and an even greater lower CASM, that's a great thing for us. And that's a great thing for our model, and that means even lower fares for customers and a good thing for investors. So that's the way we've always been thinking about 2015. I think early on, there was some apprehension, not here at Spirit, but outside about in a 30% growth year might that not pressure your revenues because you'll have so much new flying. We were always internally saying, "Yes, but our costs are going to be great because of all that." So margins might actually improve. And I think now what we're doing is, as we're finalizing our 2015 plan and actually running the map on all this, that idea is exactly what's showing up, which is why we feel confident about putting out those first quarter numbers.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then maybe another concern on our side, at least, is if you look at kind of the domestic capacity environment next year with Southwest starting to grow again and Delta adding capacity, not necessarily in the market you serve, but can you just talk about does that matter at all to you when you see Southwest starting to grow, I mean, do you see any changes meaningfully to the competitive capacity environment?
B. Ben Baldanza: Well, we're carrying different customers than either Delta or Southwest carries. We're actively seeking customers who care about price above all. And because of that, we size our capacity for what we think we're going to stimulate with a lower fare in the markets we add. So I'm not going to be so naive as to say, "We're not affected by growth in other carriers." But in general, our decision about where to fly and where to deploy our capacity is based on how much new traffic we think we can generate with our lower fares rather than how much traffic can we take from X, Y or Z because that's not we're trying to do. So to some extent, what Delta and Southwest are doing for their business models may make perfect sense, but are probably based on different parameters than the reasons we're choosing to grow.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And I think in your prepared remarks you mentioned being more aggressive with seat management. Can you just kind of explain what that is exactly and how much that benefited the quarter?
B. Ben Baldanza: Well, I mean, it's helped our non-ticket revenue in the quarter and we continually add sort of an approach toward improving non-ticket revenue. And one of the ways we've tried to do that or are doing that is by becoming a little bit more dynamic in our pricing of non-ticket products. So if you go back in time, bags were all one price and seats were all one price. And as we've evolved, we've started to vary the pricing of both bags and seats for things like when you buy the bag, where you buy the bag and things like that. For our seat inventory, we're now selling in our kiosks in the airports, which is great because if you bought your ticket on Expedia for example, but you checked in at a kiosk at the airport, now you can still buy your seat at the kiosk whereas before you would have needed to come to our website beforehand to do that. And some of our customers may not have done that, so it just creates more opportunity to merchandise the product. And on the pricing side, we -- like we've done with bags, we've tried -- we started to be a little bit more flexible in how we price seat assignments to better reflect the supply/demand for any given airplane when we can do that.
Operator: And our next question comes from Dan McKenzie.
Daniel McKenzie - The Buckingham Research Group Incorporated: Ben, circling back on some of your earlier commentary on margins and the limitations that competitive capacity can have, what's interesting is the very constructor in operating margin outlook you're giving us, even if I adjust for fuel, and despite competitive capacity, it picks up in the fourth quarter and it actually picks up a lot in the first quarter, so I also get your enthusiasm this morning. So I guess, a couple of questions here. First, to what extent do you factor in the competitive dynamic as you sort through your revenue outlook? And then, secondly, we all get how the Spirit brand differs from legacy airlines and Southwest, of course, but Frontier, just circling back on that airline, is a new competitor from someone you know pretty well and you're going after some of the same markets. And I'm just wondering how we should think about that dynamic looking ahead.
B. Ben Baldanza: Well, we decide where to fly based on where we think we can generate new traffic with a lower price. And when we believe we can generate enough traffic to fill an airplane, we'll add a flight. We'll add a daily flight. That's basically -- that's kind of how it works. Clearly, what other airlines are doing and how many seats they have deployed in a market can affect how many new trip passengers we think we can generate based on the current pricing in a city or things like that. So I'm not going to say that we're not affected by what other airlines do. But what I will say is that generally because we're living or we've built a business on the traffic that other airlines are rejecting in their yield management processes, we can -- we're not as dependent on what other airlines are doing in terms of where we'll choose to fly. In terms of the ULCC space, we don't really see any meaningful competition right now in the ULCC space other than sort of Allegiant. But as we've said before, Allegiant is serving different-sized cities than we are. So in many ways, our business model and Allegiant's are more synergistic than they are competitive. So we don't see real threat right now in the ULCC space.
Daniel McKenzie - The Buckingham Research Group Incorporated: Okay, so very helpful. And I guess, if I could just clarify. So it does sound like you are looking at the competitive landscape and adjusting your revenue outlook accordingly, I guess, just to bring that to a conclusion.
B. Ben Baldanza: That's right.
Operator: And our next question comes from Stephen O'Hara.
Stephen O'Hara - Sidoti & Company, Inc.: So if I look at the operating margin guidance, I mean, it appears that most of the benefit comes from fuel. I mean, if I adjust 1Q '14 for $2.60 fuel, most of that appears to be coming from fuel. Is that fair or no?
Edward M. Christie: I think, Steve, that a lot of it does come from fuel. I think we do anticipate seeing a trade-off between what happens on the revenue side and the benefits we're going to experience on the x fuel cost side. Our view is that there's still benefit to the margin, excluding the effect of fuel. But fuel clearly is contributing in the first quarter as well.
Stephen O'Hara - Sidoti & Company, Inc.: Okay. And then, secondly, in terms of the capacity that you're adding in. My guess is, most of it goes into new markets. And then if you could just maybe talk about how much is getting -- how much do you think will be layered into existing markets, and then maybe talk about the framework of the routes that you have available and maybe what that number's done over the last maybe 6 months or so. I mean, you guys used to have that chart, and maybe you still do, in recent presentations. I'm just wondering where that is today.
B. Ben Baldanza: Yes, we still do use that chart. We like it. But in general, most of our growth is going to come in new nonstop city pairs. Because we size our capacity initially for the traffic we think we can create with lower fares unless something changes about the marketplace itself, generally, it's more accretive for us to start doing what we do in a new place than to do things more in the places we already are. That said, a small bit of our growth next year will be in existing market. Some of that will be from gauge. We start to take the 321. We take 6 A321s toward the back half of 2015. So I've replaced -- a 321 flies where a A320 used to fly, that's 40 more seats in that market. So there's some growth that will come in same market. Some things that are less than daily might become daily and things like that. But most of the growth is going to come in doing what we do in more places rather than just doing it more where we already are.
Stephen O'Hara - Sidoti & Company, Inc.: Okay. And then just kind of on a different note. So I had the opportunity to fly you guys recently and I would say it was a pretty good experience overall. The one kind of complaint I had was it seemed a little bit confusing in terms of what I'm going to pay when, if my bag was -- I actually had to -- measured my bag to make sure it would fit in and it looked too big and then at the gate they said it was okay. I mean, and I know you guys have tried to be maybe a little bit friendlier in terms of the Spirit one-on-one policy. I'm just wondering, as you continue to unbundle and continue to maybe bucket things differently, do you see any pushback or negative impact from making it a little more complex for the average -- somebody that doesn't travel all the time?
B. Ben Baldanza: Well, part of the whole -- part of our whole effort that started last year and is continuing and we're seeing really good results from, is just by being fully transparent about the business model and helping customers no matter where you buy your ticket, whether you buy it from us, or whether you buy from an online travel agent, that you know what you're buying and you know how to make it work. So we're re-doing signage in our airports, we're training our own team members. The way we talk to our customers and the language we're using is all increasingly toward a better understanding of what it means to fly Spirit Airlines, to try to make it easy for customers. At the end, the customers who fly us pay less than they pay on other airlines. Yes, they do something -- you have to do some things a little bit differently, but we want to be understandable and clear to them. Sorry, you had -- that you were surprised by a couple of things, but part of our effort is to eliminate business model-related surprises and we have good traction at the way we started that process through 2014.
Stephen O'Hara - Sidoti & Company, Inc.: Okay.
B. Ben Baldanza: Thanks. And thanks for flying us, by the way.
Operator: And our next question comes from David van der Keyl.
B. Ben Baldanza: David?
Operator: [Operator Instructions] [Technical Difficulty]
Operator: And our next question comes from Fred Lowrance.
Fred T. Lowrance - Avondale Partners, LLC, Research Division: My question focuses on sort of comparing and contrasting growth via connecting the existing dots on a map versus a brand new city like, say, Kansas City that you got now or Cleveland coming up. Just wondering if you could give us some insight into any differences in trend between your base fares and ancillary take rates on new service up at an O'Hare, somewhere where you already are, have a presence, have some brand recognition, versus growing at a place like Kansas City where you're brand new to the market. Can you do any comparing and contrasting on how those 2 pieces of the revenue picture move?
B. Ben Baldanza: Well, Kansas City was the first market that we -- first city we've entered sort of after we've launched our sort of brand education initiatives. So it's the first city that sort of got introduced to Spirit using all of the language and all of the sort of education parameters that we're using today, like Bare Fare and Frill Control, and things like that. So sometimes, we're seeing a much better understanding of who and what Spirit is and how our low fare comes with some differences and how that trade-off can be really good for you as a consumer. We see -- we've seen that happen a little bit quicker in a Kansas City. Now when we're adding -- when in the last few years, we've only added 1 or 2 new cities to the map in each of those years and more of our growth is coming from connecting existing dots. That's because we're already flying to most of the places, most of the larger places where most people in the United States live. There's a couple of big population centers we don't yet serve, but most of the places we're already serving, so connecting those in and among those places is going to create more opportunity than adding new cities for the most part. So I think that rate of sort of 1 to 3 cities per year is going to be a more likely kind of add with more of the growth coming from connectivity. Now the advantage of growing in a city where we already are, like a Chicago or a Houston or someplace like that, is we already have a customer base, we become more relevant for that customer base, because we go to more places, makes them more interested in joining our $9 Fare Club and our frequent flier program and things like that. So there's advantage both to adding mass in an individual city and adding new cities to the network, although if you characterize all the growth, most of it is going to be in new places and most of it is going to be connecting in and among cities we already serve, with a relatively small number of new cities added each year.
Fred T. Lowrance - Avondale Partners, LLC, Research Division: All right. And just if I could a separate question. If I look back to first quarter of '14, obviously, a ton of winter storms that affected you guys and everybody else. Can you talk about what's -- just remind us what sort of noise there might be in those year-over-year comps as we look into first quarter of 2015 on the RASM and CASM side?
Edward M. Christie: Sure. Regarding RASM and CASM, you're right. There was a good deal of weather activity in the front part in the very beginning of January in 2014 that created -- wreaked havoc throughout the airline business. And in addition to that, as you may recall, we transitioned the business at that point to new crew duty and rest rules for the pilots. FAR 117 took effect on January 4. And so all the airlines were dealing with, not just irregular operations, but dealing with new FARs to deal with, with their pilot group. The good news was that we ended up operating very well during that period. I think our -- I mean, the numbers would back that up but generally our operating performance, as you measure it in the form of completion factor or whatever, was pretty good compared to the rest of the industry. And so lapping that year-over-year for us doesn't create a tremendous amount of noise, I guess. There is going to be weather-related noise in the first quarter that we certainly hope doesn't repeat. It might, but which would be -- would be in the form of, like, de-icing expense and interrupted trip and that kind of thing. But generally, we operated okay, which meant the revenue was sort of being produced and we expect that to be the case as well this year.
Operator: And our next question comes from Bob McAdoo.
Bob McAdoo - Imperial Capital, LLC, Research Division: When we talk and think about percentage change in CASM x fuel and whatever, how much -- is there any -- are we going to have -- and you also at the same time talked about reduced aircraft rent because you're going into actually buying airplanes. How much -- is there any kind of distortion in our comparison because some of this now flows -- is now below the line and it's not up above the line whether we're talking about operating margin or CASM x fuel. How do we think about in terms of trying to understand the comparisons and realizing that some of those numbers are not going to be quite comparable? Are we not into enough of the owned aircraft to have that actually show up yet?
Edward M. Christie: We're not yet. And by the time we get to the end of this year, we'll have 4. So it's still a minority portion of the fleet, but we are buying another 11 next year and we'll see what happens beyond that. But your point is correct that part of what benefits operating cost on a unit basis is that when you remove rent and you take on an owned airplane, there is interest expense that happens in the non-op line. But as we've said and we've been, and I actually reiterated again today, including interest expense, the pick-up to pretax income is still positive, ownership versus lease, which is the way we look at it and the way we would expect everyone would look at it. So what's happening overall to profitability.
Bob McAdoo - Imperial Capital, LLC, Research Division: I understand it's overall. I'm just trying to think about the comparison of using operating margin versus pretax margin, I guess, is what I'm thinking about.
B. Ben Baldanza: Yes. I mean, look, we've always used op margin and I understand what you're getting at, Bob. As I mentioned in my comments, we expect of course next year to cap at least $12 million or the vast majority of our interest expense too, so that number is going to be a de minimis amount. So -- but nonetheless, even if you exclude that, I understand what you want to be looking at is, what's happening to overall margin including the interest expense and we believe that ownership is accretive to that.
Bob McAdoo - Imperial Capital, LLC, Research Division: And overall cost per seat mile not just operating cost per seat [indiscernible]
B. Ben Baldanza: Yes. That's right and we still feel that, that's dilutive to that.
Operator: And our next question comes from David van der Keyl.
David van der Keyl - BofA Merrill Lynch, Research Division: Sorry about that guys.
B. Ben Baldanza: Yes. Glad we got you back, David.
David van der Keyl - BofA Merrill Lynch, Research Division: Just a couple of follow-ups to prior analysts' questions. First, could you quantify the RASM impact from the higher Tuesday/Wednesday flying in the third quarter?
Edward M. Christie: No. We wouldn't get that granular with you other than to reiterate again we felt it was the right move for the bottom line.
David van der Keyl - BofA Merrill Lynch, Research Division: Okay. On Frontier competition, I believe you guys compete with Frontier already on a fair amount of routes. So I'm just wondering if you can give us an update on what percentage of your routes currently overlap with Frontier and how Spirit's yield is compared to the corporate average on those routes.
B. Ben Baldanza: We're looking up sort of -- do we know what overlap with Frontier? We don't have our actual overlap with them right now, but it's probably about 15%. It's sort of in that range. So we don't have a significant overlap with them right now. We look at our yields and our performance on every route we fly and we evaluate our performance whether we add flying, whether we subtract flying, whether we maintain what we're doing based on the returns we're able to get out of our flying. And we see changes in flying from a lot of carriers in our network and we continue to react accordingly to drive high margins for the airline. And so as new competitors change or move around, that won't change our approach to the business.
David van der Keyl - BofA Merrill Lynch, Research Division: Okay. And then just last question on hedging. Ted, I guess you moved out of the money calls. Fuel's dropped obviously significantly. Just have you given any thought to layering in more hedging to kind of lock in prices at low levels or is that just not part of the strategy?
Edward M. Christie: No, we have a dynamic strategy. We're always evaluating what's happening in the marketplace. Your point is, obviously, having it move in this direction clearly. The product we bought was the right product, so we're pleased about that. And then we'll be evaluating whether or not we think it's marked for the quarter or the year, whatever, to layer in any additional production other than what we have. And that'll be, like I said, that's an ongoing kind of evaluation.
Operator: And our next question comes from Helane Becker.
Helane R. Becker - Cowen Securities LLC, Research Division: Ben, this could be too early to think about it. But I think your pilots come up for negotiation next year. So just 2 questions with respect to that. Will you wait until the contract actually becomes amendable before you open? And you've been so successful for the length of the existing contracts, how do you temper their enthusiasm to understand the business model enough that they don't overreach?
B. Ben Baldanza: Helane, our contract does become amendable in the summer next year, 2015. And beyond that, we can't comment on sort of talks with them and what we're doing. I will say that, in general, our pilots do a terrific job for the airline. And they like working at the airline. As John Bendo said earlier in the call, we're a great place for pilots to come to work because we're the fastest upgrade in the business. It's funny when I meet first officers of the airline, I always ask them, "Do you know when you're becoming a captain?" And they always know, like, to the month. "Yes, in 2 years and 4 months, I'm going to be a captain." And I think that's great, actually. We -- I feel really good when they say that because we want our guys to know, as a growing airline, this is a great place to work. So I think we have a good group who works really hard. As we move toward a new deal with them in the next phase, I'm sure we'll work together to find a good win-win for both of us. They can get what they need and we can keep growing the company.
Operator: And our next question comes from Steve Trent.
Stephen Trent - Citigroup Inc, Research Division: Just one quick question, and I'll stick with your one question rule. You mentioned the fire at Chicago airport resulted in cancellation of 43-some-odd flights. I also recognize that you guys rerouted some of your capacity with Hurricane Odile hitting Los Cabos airport in September as well. Any sort of broad kind of ballpark idea as to what the economic impact of those events may have been on 3Q?
Edward M. Christie: No. It's Ted. We haven't -- we didn't bother to bring it up because it wasn't really material because, as we mentioned, although we did have 43 cancellations, we were able to kind of work around beyond that. And quite frankly, some of the issues created by the fire -- I'm talking about specifically about the fire in Chicago, sorry, lapped over into the fourth quarter, because although the disruption started in September, we really didn't get, or the FA didn't, fully back online until mid October. But nonetheless, I wouldn't say there was really a material impact for either one of those events. We have -- we did have to cancel some of our activity in the Cabos, but it's really a inconsequential amount in total.
B. Ben Baldanza: Steve, and one way to think about that in total, not specifically those 2 particular issues, but in general, is that we operate a very thin network and we're not that large in any city that we operate in, even our larger cities might be 40, 50 flights a day, they're not hundreds of flights a day. The reality of our growth as we've grown geographically and now serve across the United States as well as many markets internationally as well is that the likelihood of things like those happening is probably greater than it has been in our past because we're in a lot of places now. But also, the probability that any one of those are going to be particularly material to the financial impact of the company is also probably a little bit less just because there is no one place that the profitability of the airline is disproportionally centered.
Operator: And our next question comes from Mike Derchin.
Michael W. Derchin - CRT Capital Group LLC, Research Division: I was just wondering, recently a number of your peers raised fares despite falling oil prices because, I guess, because of the new government security fee that was put on. Did you go along with that? I was just wondering about that.
B. Ben Baldanza: We did not follow along with that particular fare increase. As we've said before, the right price for Spirit is the price that fills our airplanes. And we'll look for price opportunity when the supply demand allows that for us. But in that particular case, no, we did not follow along with that.
Michael W. Derchin - CRT Capital Group LLC, Research Division: Yes, I didn't think so. Can I ask one more question? On the neo, I'm just wondering, do you have to do anything since it's a new plane type? Do you have to do anything special to prepare for that? And what's sort of the status on that plane?
John Bendoraitis: Yes. This is John Bendoraitis. Certainly, there's a little bit of work that we have to do internally. But by and large, other than the engine, the aircraft is really the same aircraft. But yes, you're right. There are some things we have to do operationally. But we started meetings with Airbus now and we've got just about a year ahead of us, so we'll be well prepared when that airplane comes.
B. Ben Baldanza: While not the exact same thing, a little while ago when we took our first chart-fitted [ph] airplane, we had the exact same issue. That chart-fitted [ph] airplane required some changes in manuals and other things like that in terms of how that plane was going to be different than a non chart-fitted [ph] plane. So this is a little more with different engines, but it's the same kind of process.
Operator: And our next question comes from Hunter Keay.
Hunter K. Keay - Wolfe Research, LLC: I have 2 follow-ups. Hey, Ted, real quick. Did you say that was $12 million per year in capitalized interest or $12 million over the next 3 years spread out?
Edward M. Christie: No, $12 million per.
Hunter K. Keay - Wolfe Research, LLC: Okay. And then another question, maybe for you, Ted, as well. As you think about this return on invested capital metric, is it really fair that you guys back out cash because it, obviously, it makes the number almost double especially considering you're holding on to such an enormous cash balance like it almost seems like you're trying to have it both ways in the sense that you -- considering you're being conservative by holding on to cash for growth, and then you backed it out. You don't really penalize your ROIC because of it. So given the returns that you generate right now, isn't it time to think about working that cash balance down and investing it back into the business and also eliminating it from how you calculate that?
Edward M. Christie: Well, to answer the question about using the cash, which really is about return. We feel, as I said before, we feel like we are making the right decisions in the point of that capital. We're a growth airline, we have a lot of growth coming and we are reinvesting in the business every day, every time we plan to take a new airplane. And so having that cash balance available to us makes sure that we can deliver upon the returns that we think -- that we're very proud of and we want to make sure that, that's a stable environment going forward. So now when those metrics and parameters shift which, as we mature, will eventually happen. As I said before, we'll always consider what the appropriate level of cash is based on our size and that may change how we deploy that cash and provide a return to our shareholders. But for now, we feel like we're doing the right things with that cash.
Operator: And we have time for one more question. Our last question comes from John Godyn.
John D. Godyn - Morgan Stanley, Research Division: Ben, one of the things that we've chatted about on prior calls is the importance of the A321s versus A320s and this kind of favorable gauge mix effect that's going on as we look at '15 and '16. Just in the context of that, I was hoping that you could speak to a little bit of how important the A321s that you're getting in '15 are in driving the CASM x fuel guidance that you're describing. And given that there are even more being delivered in 2016, what are the chances that we could actually be seeing multiple years in a row of falling CASM x fuel?
B. Ben Baldanza: We're very excited about the 321 as an airplane. It's a great economic airplane. We're excited about how it will be deployed profitably in our system. For 2015, while we're taking delivery of 6 of the airplanes, they're all in the back half of the year. So the 2015 impact of the A321 is really pretty small on our 2015 economics. It'll be a bigger issue in 2016 because, obviously, the 6 we take in 2015 will be full year deployed in 2016, plus we'll take more in 2016. So it's, I would say, that it's just a real small, couple of percentage per point impact, meaning not on the CASM itself, but on the total economics for 2015. It's almost a rounding error. It's like if every one of those planes were a 320, it wouldn't be that different for 2015. That said, we're really excited about the plane, but 2015 is not the big year for seeing the leverage points of that plane.
DeAnne Gabel: Thank you all for joining us today.
Operator: And I'm not showing...
DeAnne Gabel: Thank you, Victoria [ph]. Thanks everyone for joining us today. And we'll see -- hear from -- talk to you in a couple of months.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.